Operator: Good day ladies and gentlemen and welcome to the Martin Midstream Partners LP second quarter 2018 earnings conference call and webcast. At this time, all participants are in listen-only mode. Later we will conduct a question and answer session and instructions will follow at that time. If anyone should require assistance during the conference, you may press star then zero on your touchtone telephone to speak with an operator. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Bob Bondurant, Chief Financial Officer. Sir, you may begin.
Robert Bondurant: Okay, thank you, Brian. To let everyone know who else is on the call today, we have Joe McCreery, Vice President of Finance and Head of Investor Relations; Scott Southard, our VP of Commercial Development, and Sharon Taylor, who after today will become our Director of Finance and Head of Investor Relations. It is somewhat bittersweet that I am today announcing that Joe is leaving Martin after nine and a half years in order to take the Chief Financial Officer position at Copperbeck Energy Partners. His new position as CFO at Copperbeck will fulfill a long time professional goal of Joe’s. We surely regret that Joe will be leaving us but are excited that he has a great opportunity with Copperbeck to help grow a company from its infancy. Joe has been a very valuable asset at Martin, and I want to personally thank you for all you’ve provided us for these many years, and we wish you and the Copperbeck executive team much success in the future. Now I’d like to introduce Sharon Taylor, who has worked for Martin in various capacities since we acquired Prism Gas in 2005. Sharon was the CFO at Prism prior to our acquisition and after we sold Prism in 2012 has been working for our general partner, managing several IT implementation projects. Sharon also has had experience as Head of Investor Relations for a logistics management company prior to joining Prism. We’d like to publicly welcome Sharon to her new role here at Martin, and we believe she will add great insight and value to our organization in her new role. With that, I would like to turn the call over to Sharon for a few brief comments.
Sharon Taylor: Thank you, Bob, and good morning. Before we get started with the financial and operational results for the second quarter, I need to make this disclaimer. Certain statements made during this conference call may be forward-looking statements relating to financial forecasts, future performance, and our ability to make distributions to unit holders. We report our financial results in accordance with generally accepted accounting principles and use certain non-GAAP financial measures within the meaning of SEC Regulation G, such as distribution c ash flow, or DCF, and earnings before interest, taxes, depreciation and amortization, or EBITDA, and also adjusted EBITDA. We use these measures because we believe it provides users of our financial information with meaningful comparisons between current results and prior reported results, and it can be a meaningful measure of the partnership’s cash available to pay distributions. We also included in our press release issued yesterday a reconciliation of EBITDA, adjusted EBITDA, distributable cash flow and quarterly adjusted EBITDA guidance to the most comparable GAAP financial measure. Our earnings press release is available at our website, martinmidstream.com. Thank you, and back to you, Bob.
Robert Bondurant: Thanks Sharon. Now I’d like to discuss our second quarter performance compared to the first quarter and also discuss our second quarter performance compared to our guidance. For the second quarter, we had adjusted EBITDA of $29.4 million compared to $44.8 million in the first quarter of 2018. Our distributable cash flow for the second quarter was $11 million, which provided a quarterly distribution coverage ratio of 0.56 times which compares to second quarter guidance of 0.59 times. For the second quarter, our adjusted EBITDA of $29.4 million was below our guidance of $35.1 million primarily from a one-time write-down of inventory in our fertilizer business. By segment, I would like to discuss our second quarter operating performance compared against the first quarter and also discuss our operating performance compared to our segment guidance. In our natural gas services segment, our second quarter adjusted EBITDA was $10.5 million compared to $23.3 million in the first quarter. Included in adjusted EBITDA was $1.5 million in distributions from West Texas LPG in both the first and second quarters. The significant portion of the decrease in cash flow between quarters for our natural gas services segment was primarily from our butane logistics business. During the second quarter, sales normally decline significantly in our butane logistics business as we begin to build inventory by buying and storing butane production from refineries as they begin to have excess butane in Q2 and Q3. This is exactly what happened in Q2 as our butane logistics EBITDA decreased by $8.9 million between quarters. Moving forward, we will continue to purchase and build inventory in the third quarter to position ourselves for sales that will begin again in late September. Compared to our second quarter guidance, our natural gas services segment missed guidance by $1.5 million. This miss can also be explained by our butane logistics business. We were not able to realize our forecasted margins in Q2 in this business, which resulted in our guidance miss; however, based on the carrying cost of our current inventory in storage, we believe this business line will again generate strong cash flow beginning in the fourth quarter when refinery demand for butane significantly increases. Moving to our terminaling and storage segment, our second quarter adjusted EBITDA was $14.6 million compared to $13.7 million in the first quarter. The increase was primarily due to improved performance in our packaged lubricant business as sales volume grew 26% between quarters. Compared to second quarter guidance, our terminaling and storage segment missed forecasts by half a million dollars primarily in our shore-based terminal business. We had forecasted that diesel throughput volume would be greater than our guaranteed minimum contract, but this was not realized in the second quarter as Gulf of Mexico drilling activity remained soft. We continue to consolidate our shore-based locations in order to reduce our fixed cost structure which should still be positioned well to capitalize on volume increases when the Gulf of Mexico diesel and service demand rebounds. In our sulfur services segment, our second quarter adjusted EBITDA was $5.6 million compared to $9.8 million in the quarter. Our sulfur business had an increase in adjusted EBITDA of $1 million between quarters while our fertilizer business adjusted EBITDA decreased $5.1 million. The majority of the decrease was related to a one-time write-down of $3.9 million of our bulk ammonium sulfate inventory at our Plainview warehouse. At the end of Q2, we contracted with a third party to use 3D measurement technology at this bulk inventory location to measure inventory, resulting in this write-down. Going forward, this new measurement system will be done at every quarter end to get a more accurate count of bulk inventory. Compared to second quarter guidance, our sulfur services segment missed forecasts by $3.8 million, which was the amount of the one-time write-down of bulk ammonium sulfate inventory. In our marine transportation segment, our second quarter adjusted EBITDA was $2.7 million compared to $2.1 million in the first quarter. We continued to experience stronger demand for our service as both days worked and day rates have strengthened. When compared to second quarter guidance, our marine transportation segment exceeded forecasts by $0.4 million primarily due to improving day rates. Also, our marine segment has significantly completed all its regulatory dry dockings in the first six months, so our towing capacity in the last half of the year will be improved over the first six months of the year, and it also appears barge rates will be higher than what we previously provided in our guidance. Finally, our unallocated SG&A was $4 million for the quarter, which was just slightly higher than guidance. Now we’d like to turn the call over to Joe to discuss our West Texas LPG sale, its pro forma impact, and also maintenance capital expenditures for the remainder of the year.
Joe McCreery: Thanks Bob. Let’s start with the normal walk-through of the debt components of our balance sheet, defining our bank ratios at quarter end, then discuss yesterday’s West Texas LPG pipeline announcement. We will then discuss our capital spending during the second quarter and revised full year 2018 capital spending estimates as it pertains to our leverage ratios and our guidance. On June 30, 2018, the partnership’s balance sheet reflected total long term funded debt of approximately $832 million. Our balance sheet funded debt is shown before unamortized debt issuance and unamortized issuance premiums, as actual funded debt outstanding was $838 million. Reconciling this amount at quarter end, our revolving credit facility balance was $464 million and the notional amount of our senior unsecured notes was $374 million, thus our total available liquidity on June 30 was $200 million based on our $664 million revolving credit facility. For the quarter ended June 30, 2018, our bank compliant leverage ratios, defined as senior secured indebtedness to adjusted EBITDA and total indebtedness to adjusted EBITDA, were 3.02 times and 5.46 times respectively. Our total debt ratio is shown without adjustments from the working capital carve-out sublimit. This sublimit allows us to exclude certain debt directly attributed to the seasonal NGL inventory build where the partnership has either forward sold or hedged inventory from our total debt to EBITDA calculation; however, during the second quarter, our seasonal NGL inventory build-up was not yet at a level where we utilized the carve-out mechanism. Our bank compliant interest coverage ratio as defined by adjusted EBITDA to consolidated interest expense was 3.06 times. Looking at the balance sheet, total debt to total capitalization on June 30 was 75.9%. In all on June 30, the partnership was in full compliance with all covenants, banking or otherwise. Now let me move to a brief discussion pertaining to the asset divestiture announced in yesterday’s earnings release. The partnership has entered into a definitive agreement to sell its 20% interest in the West Texas LPG pipeline to One Oak Inc. Net proceeds of approximately $193.6 million will be used to repay outstandings under our revolving credit facility, and the transaction is scheduled to close next week on July 31. On a pro forma basis, the divestiture of West Texas LPG represents more than a full turn of leverage improvement. At June 30, our total leverage would have been 4.36 times compared to our reported bank compliant ratio of 5.46 times. Upon the successful completion of the transaction, we have agreed to revise our banking leverage covenants back to levels prior to the West Texas LPG expansion project, meaning specifically that the maximum total leverage will revert back to 5.25 times and the senior secured leverage will revert back to 3.5 times or lower. This immediately accretive divestiture represents our commitment to both improving our balance sheet as a catalyst for future growth and our desire to simplify our operational focus more in line with refining services and downstream related activities where we excel. We believe MMLP is now well positioned to entertain various growth avenues, including potential drop-downs from MRNC. Now let’s focus on capitalized spending during the second quarter and how that projects for the rest of 2018. First with respect to growth capital expenditures, we spent approximately $14 million during the second quarter, of which approximately $11 million was specifically attributed to the West Texas LPG expansion project. However, with the sale of West Texas LPG, our growth capital expenditures forecast for 2018 will be reduced by approximately $24 million as we will no longer be making capital contributions to the project. Recall from our guidance that our full year capital expenditures on the growth side were anticipated to be approximately $50 million, of which $40 million was attributed to the West Texas LPG expansion. Unrelated to the pipeline project, we have spent approximately $10 million through two quarters, of which approximately $6 million was allocated to marine equipment. For the remainder of 2018, we anticipate spending only an additional $2 million on growth capex. Now switching to maintenance capital expenditures, during the second quarter we spent approximately $5 million on maintenance capex, bringing the total for the year to approximately $11 million. Through two quarters, we trail our forecasted maintenance capex level due to both lower project costs and the timing related to our projects. That said, we are revising our full year maintenance cap forecast from approximately $29 million to approximately $24 million. Bringing this full circle, although we trail cash flow guidance by approximately $5 million through June 30, we are continuing to affirm our full year distribution coverage ratio guidance of one time based on revised maintenance capital spending and reduced interest expense as a function of debt reduction from our announced asset sale. Finally in closing, as Bob mentioned, after nearly a decade, today marks my final MMLP earnings call. I’m very grateful for the time I’ve had at Martin and the opportunities it has afforded me. Going forward, you can be certain that the investment community is in great hands with Sharon leading our IR efforts. It’s sad, but for many of you, our paths will cross again in the future; but to all, including MMLP and its unit holders, I wish everyone continued prosperity. Okay Brian, that concludes our prepared remarks this morning. We’d now like to open the lines for questions and answers. Thank you.
Operator: [Operator instructions] Our first question comes from the line of Matt Schmid from Stephens. Your line is now open.
Matt Schmid: Hey, good morning guys, and congrats, Joe.
Joe McCreery: Thank you, Matt.
Matt Schmid: Just thinking about the WT LPG divestiture, congrats on that and getting back and hitting your leverage targets, but maybe could you just provide a little bit more color about thoughts around the distribution and coverage targets going forward? Does that really kind of remain the same, or do you have any different thoughts about that?
Joe McCreery: Matt, this is Joe. I think the goal for the partnership on those two fronts, leverage and coverage, remain the same - better than 4.5 times leverage and coverage of 1.2 times, which has been our stated goal to the street and to the rating agencies and the lenders.
Matt Schmid: Okay, thanks. You mentioned in the remarks about the possibility of drop-downs or more flexibility going forward. Maybe could you just give a little bit more color about how you’re thinking about future growth opportunities and details of what kinds of potential downstream or refining related assets, or where do you think you have the best growth opportunities around your existing assets?
Robert Bondurant: I think the biggest opportunity for drop-down would be possibly our trucking company. Our trucking company is primarily focused around refineries. It would fit our new informal stated goal of becoming more of a refinery services-like business. We’re seeing significant growth in our trucking company with rate improvement, and the tightness of drivers is helping drive that rate improvement. We are not a commodity hauler in that we’re not kicking around the Permian and having some temporary increases because of a lack of pipelines. We again are focused around the refinery world, so we think it’s a very stable cash flow business that has significant growth opportunity. That’s the one obvious one that’s out there, and I’ll just keep my remarks to that one.
Matt Schmid: All right, thanks for the color.
Operator: Our next question comes from the line of Patrick Wang from Baird. Your line is now open.
Patrick Wang: Hey, good morning everyone, and congrats, Joe. Just a quick one on marine first. Are you finally seeing some progress from--you know, after we finally saw some of that progress on industry fleet attrition, are you seeing any of your competitors start to add to their fleet at this point yet?
Robert Bondurant: No, I think what’s happening is a consolidation in the business. Primarily there’s been--Savage acquired Setoon Towing, I believe recently. I know Kirby’s taken--I heard at a board meeting a couple days ago, approximately I think--I may misspeak, but 50 to 80 vessels out of service because they’re older ones. So what we’re seeing is a retirement of older vessels so the fleet is shrinking, consolidation going on, and that’s really providing the tightness in the market and we are seeing as we roll over. A lot of our contracts are month to month - we do have a few that are longer term, but as those month to months are rolling over, we’re getting $100 increases, $200 increases, etc., so we feel pretty good about the growth in cash flow we are continuing.
Patrick Wang: Okay, that’s great. Thanks for that. Just shifting back to the earlier comments on the potential trucking business drop-down, could you comment just about the labor environment there? I know we’ve been hearing about the general shortness of truck drivers. Just curious about your thoughts there.
Robert Bondurant: Yes, it is a tight market, and it’s not only on the energy side and bulk products that we haul, but it’s our drive van volume, etc. When you think about the Amazon world and everybody shipping product around, the demand for drivers has significantly increased, and we are seeing significant tightness. However, we recently hired several new driver recruiters that have done a good job of bringing in new drivers. We are currently maintaining the size of our driver fleet, but we’re slowly starting to see some increases. It’s very competitive right now, but again the biggest driver to that is the fact that we are getting rate increases. So with that, labor is tight but our customers, which are sophisticated refiners and chemical companies, etc., they understand that and they are not fighting rate increases because they can’t get their products hauled from any other carriers. It is a supply driven price increase, and when I’m talking about supply, I’m talking about the supply of trucks and availability of trucking. We feel it could be a great growth story longer term for the partnership if that was to come to pass.
Patrick Wang: All right, that makes a lot of sense. Thank you very much.
Operator: Our next question comes from the line of Jordan Stevens from Caspian. Your line is now open.
Jordan Stevens: Hey guys, and congrats, Joe. I just wanted to see how you guys were thinking about the capital structure going forward. I know you talked about potentially coming to the bond market back over the winter until there was a little bit of a hiccup, and now with the significant reduction in leverage, is that something you’re considering again or will it be a ratings-driven decision? Just would love any color there.
Joe McCreery: Jordan, this is Joe. Thanks and good morning to you. As we think about the plan on finance going forward, we’ve got a couple of moving parts. As you’re aware, we do have a power cal date in our bonds next February - we’ve certainly got our eye on that as a potential triggering event, and also our revolving credit facility goes current next March, so we’ll be in the market, likely the bank market as well. There is some capital structure work to do. We’ve alluded to some of this potential growth. I think you have to kind of incorporate that into the plan of finance, if you will, so there are some moving parts. We are in dialog with rating agencies currently, they are certainly aware of the transaction and our pro forma leverage, and where we anticipate being on a full year and 2019 basis, so hopefully with some assistance from them, we get a favorable bounce and we can entertain activities like a bond offering and, as I said, there is some bank work to do as well.
Jordan Stevens: Thanks.
Operator: Our next question comes from the line of Selman Akyol from Stifel. Your line is now open.
Selman Akyol: Thank you very much. Joe, best of luck. I guess as you think about the fertilizer business and you roll into the fall, is anything from tariffs, farmers seeing issues out there, is any of that starting to factor into your thinking? Are you seeing anything there yet at all?
Robert Bondurant: We’re not seeing anything yet. The primary, I think, product that was going to have tariffs on it was soybeans, and our fertilizer that we sell is primarily focused on corn, which we’re not hearing tariffs on that. In talking with the leadership with the fertilizer group, they think it’s a non-event right now. Could that change if corn gets involved? Possibly, but again the biggest use of agriculture products that use our fertilizer is corn, so I think it’s minimal impact at this moment.
Selman Akyol: Okay, appreciate that. Thanks again, guys.
Operator: I am currently seeing no further questions. I will now turn the call over to Bob Bondurant for any further remarks.
Robert Bondurant: Okay, thank you, Brian. As Joe talked about and we talked about on the call, we’re very pleased with the ability to close the West Texas LPG sale on July 31, very pleased with the transaction and the speed of execution, and with that we’ll be paying down approximately $195 million of debt, which adds annual interest savings of approximately $10 million a year, plus or minus. With that comes pro forma leverage of 4.36 times at 6/30, that puts our balance sheet in a great position for growth. We’ve talked a little bit about that, primarily looking at potential drop-downs and maybe some ones and twosies on the organic growth side as well. We have renewed optimism in marine transport, stronger day rates and higher utilization. With this fertilizer adjustment, we most likely will not hit our fertilizer guidance, but I do believe it will be offset by the strength in our marine transportation business. We want to continue to affirm our one times guidance based primarily on lower maintenance capex and lower interest expense. With that, final thoughts - Joe, appreciate it again. Good luck at Copperbeck - you’re not going to be far from here, so I appreciate it, and welcome Sharon to the team. With that, I’ll close, and appreciate everybody’s coverage. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This concludes today’s program and you may all disconnect. Everyone have a great day.